Operator: Ladies and gentlemen please standby. Good day and welcome to the Honeywell's First Quarter Earnings Release. At this time, all participants are in a listen-only mode and the floor will be open for questions following the presentation. As a reminder, this conference is being recorded. I would now like to introduce your host for today's conference, Mark Bendza, Vice President of Investor Relations. Please go ahead, sir.
Mark Bendza: Thank you, Jake. Good morning and welcome to Honeywell's first quarter 2021 earnings conference call. On the call with me today are Chairman and CEO, Darius Adamczyk; and Senior Vice President and Chief Financial Officer, Greg Lewis. This call and webcast, including any non-GAAP reconciliations, are available on our website at www.honeywell.com/investor.  Note that elements of this presentation contain forward-looking statements that are based on our best view of the world and of our businesses as we see them today. Those elements can change based on many factors, including changing economic and business conditions, and we ask that you interpret them in that light. We identify the principal risks and uncertainties that may affect our performance and our annual report on Form 10-K and other SEC filings. This morning, we will review our financial results for the first quarter of 2021, share our guidance for the second quarter and provide an update to our full year 2021 outlook. As always, we'll leave time for your questions at the end. With that, I'll turn the call over to Chairman and CEO, Darius Adamczyk.
Darius Adamczyk: Thank you Mark and good morning everyone. Let’s begin on Slide 2. We delivered a very strong start to 2021 exceeding the high end of our first quarter organic sales growth, segment margin and adjusted earnings per share guidance range. In the first quarter we delivered adjusted earnings per share of $1.92 down 13% year-over-year and $0.09 above the high-end of our guidance range. Organic sales were down 2% year-over-year, a 5 percentage points sequential improvement from the 7% organic sales decline in the fourth quarter of 2020. We drove year-over-year organic sales growth in two out of our four segments, HBT and SPS despite facing difficult comps since the first quarter of 2020 wasn't fully impacted by the pandemic. Honeywell Building Technologies have returned to growth and safety and productivity solutions achieved an outstanding 47% organic growth in the quarter. We also drove double-digit year-over-year organic growth in connected software sales driven by strong demand for our connected buildings and cyber solutions. We delivered segment margin of 21%, 10 basis points above our guidance with margin expansion in aerospace, HBT, and SPS. We generated $757 million of free cash flow in the quarter, a strong performance despite increased investment in high return capital expenditures, which were up approximately $80 million year-over-year as we position ourselves for the recovery. 
Greg Lewis: Thank you and good morning, everyone. As Darius highlighted, we're very pleased with our start to 2021. While the COVID pandemic continues to impact some of our end markets, our laser focus on demand generation, operational execution, and cost management enabled us to over deliver on our commitments. First quarter sales declined by 2% organically due to the effects of the COVID-19 pandemic, which represents a 5 percentage point sequential improvement from the fourth quarter. As Darius mentioned, that was driven by robust double-digit growth in our warehouse automation solutions and personal protective equipment businesses, as well as continued demand for our building products and services, advanced materials strength, and strength in our connected software.  We expanded margins year-over-year in three out of four segments, aerospace, HBT, and SPS for the second consecutive quarter, limiting Honeywell's overall segment margin contraction to 80 basis points and ending the quarter with a segment margin of 21%. Our commercial excellence and strong cost management, as well as an approximately $30 million one-time benefit in aerospace drove 10 basis points of outperformance in segment margin compared to the high-end of our guidance range despite the mixed headwind from much stronger sales and our lowest margin segment SPS.  We delivered adjusted earnings per share of $1.92, down 13% year-over-year. This was $0.09 above the high end of our guidance, driven by segment profit improvement from higher sales volumes and by a lower than expected effective tax rate. From a year-over-year perspective, below the line items were an $0.11 headwind driven by lower interest income in FX and higher repositioning and interest expense, partially offset by higher pension income. Our effective tax rate was higher than the first quarter of 2020, primarily due to benefits realized in the prior year period from tax law changes in India and the resolution of certain U.S. tax matters driving a $0.13 headwind. This was partially offset by a $0.03 EPS benefit from lower share count. A bridge of all this from 1Q 2020 to 1Q 2021 adjusted EPS can be found in the appendix of this presentation.  We generated $978 million of cash from operations up 4% year-over-year despite lower net income. Free cash flow for the quarter was $757 million, down 5% year-over-year due to higher capital expenditures, particularly in SPS, as we continue to expand PPE capacity. Working capital improvements including strong collections, offset these headwinds during the quarter, driving adjusted free cash flow conversion of 56%, up 500 basis points from the prior year. As you know, the first quarter is historically our lowest from a cash perspective, and we remain on track to our full year cash guidance. I'll talk more about our full year outlook in a few minutes. 
Darius Adamczyk: Thank you, Greg. Before we wrap up, I'd like to take a minute on Slide 8 to discuss ESG. At Honeywell we consistently say and firmly believe that a robust environmental, social, and governance framework enables us long-term success. In fact, responsible corporate citizenship is an essential part of our value creation framework. Importantly, we announced a commitment earlier this month to become carbon neutral in our operations and facilities by 2035. This represents a continuation of our ongoing sustainability efforts, which have already reduced the greenhouse gas intensity of our operations and facilities by more than 90% since 2004. In addition, we worked extensively to increase energy efficiency, conserve water, minimize waste, and proactively champion responsible remediation projects that restore valuable community assets. We plan to achieve our commitment through a combination of further investments in energy savings projects, conversion to renewable energy sources, completion of capital improvement projects at our sites, and in our fleet of company vehicles and utilization of credible carbon credits. We have decades long history of innovating to help customers meet their environmental and social goals. In fact, about half of Honeywell's new product introduction to research and development investment, is directed towards products that improve environmental and social outcomes for customers.  For example, the widespread adoption of Honeywell Solstice line of low global warming potential refrigerants, blowing agents and aerosols has already reduced the equivalent of more than 200 million metric tons of carbon dioxide to date, equal to eliminating the emissions from more than 42 million cars. A few days ago, we announced that Whole Foods Market has adapted to Solstice N40 lower global warming potential refrigerant in more than 100 of U.S. stores as it seeks to reduce refrigerant emissions under the U.S. Environmental Protection Agency's green shield program. This is just one example of how our innovative products and services continue to improve customer sustainability profiles and how Honeywell is playing an active role in shaping our future that is safer and more sustainable for generations to come.  Now let's wrap up on Slide 10. In summary, we delivered a strong start to 2021 with first quarter results that exceeded expectations. We're seeing promising signs of rapid recovery in some of our markets and we're executing in our rigorous and proven value creation framework, which consistently delivers shareholder outperformance in all economic cycles and will continue to enable us to return to our key long term growth commitments in 2021 and beyond. With that Mark, let's move to Q&A. 
Mark Bendza: Thank you Darius. Darius and Greg are now available to answer your questions. We ask that you please be mindful of others in the queue by asking only one question. Jake, please open the line for Q&A. 
Operator: Yes. . We will begin with Steve Tusa with J.P. Morgan.
Stephen Tusa: Hey guys, good morning. 
Darius Adamczyk: Good morning. 
Stephen Tusa: I'll ask my one question in five parts. On the second quarter you guys had said in the last call that margins would kind of build from 1Q to 2Q even excluding the $30 million in Aero, they are down. First of all, kind of what changed relative to what you were expecting back then? And then second of all, just in kind of the second half of the year normally things kind of level out from the second quarter, is this year going to be a little bit different seasonally, given the later cycle nature of the company? And then last one would be on aerospace, how do you think your performance compared to like what you gauge as flight hours, this quarter on your aftermarket?
Darius Adamczyk: That was almost five but I think you got to four. Let’s go with the margins, on the margins the biggest thing that changes is the mix makeup of our Q2 and sort of the fastest growing business for us is Intelligrated, which was going to be growing even faster than we anticipated. And think about sort of a mid to high double-digit growth rate for that business. So we -- our bookings, our success, our output is growing and frankly it's mixing in at even more as part of the overall portfolio. So that is the number one in primary reason that there is a little bit of that change. Some of the headwinds merits the thing that we anticipated there, so there's really no change in that, but the short answer is the Intelligrated business is growing even faster than we anticipated, and continues to be a growth engine for us. In terms of the second half, I think the one thing to be -- to interpret it wrongly per earnings releases that were somehow less bullish on our second half, we're not. Now, we're actually very excited about the second half but frankly it's one quarter in and a year where there are many, many unknowns, including COVID rates, in terms of infection rates, and current supply chain, and so on. We don't see anything in there that we are particularly worried about, but it is one quarter into a year, which probably has many more unknowns than most. I think your third question was around sort of what's up, what's down. I would say -- I would characterize the following in terms of our BGA   hours are actually up vis-à-vis our initial assumptions. So that's what's up. What's down is our air transport, which obviously is a bigger number vis-à-vis BGA. So, in total we're about the same, but it's a little bit different.  And then lastly, I would tell you that, defense and space was roughly where we expected the U.S. markets were strong. The internationals were a little bit weaker. We're sort of looking at that for the rest of the year, we don't know if there was some sort of channel loading that kind of happened at the end of the year. Not that we drove it, but the distributors themselves. So, those are sort of the puts and takes, but the framework that everybody ought to just fully understand is we are very bullish on our markets. And what we're seeing is the short cycles coming back very strongly compared you also add onto Intelligrated. I mean, when was the last time Steve, you have seen any segment in any of our peers grow 47% year-over-year? I mean, that's remarkable. And now in the sec, whether it's in the third or fourth quarter of this year, you're going to see some of our longest cycle businesses coming back, whether it's PMT and aerospace, I can't exactly call it whether that's Q3 or Q4. There's a lot of moving pieces, but they're going to come back and as you well know, those are higher margin businesses. So we're -- I think we're on a really, really nice ramp here coming up for our future. Greg, I don't know if you have anything to add. 
Greg Lewis: No, I think you hit it right on and I think we've positioned ourselves well for what's to come. You mentioned some of the temporary costs that we talked about coming back and they will be coming back starting in 2Q, merits go in in April. So, these are things that -- and we're going to increase our investment in R&D as we said. So, I think you hit the salient points. 
Stephen Tusa: Thanks. Just FYI Pool Pumps grew 50% this quarter. So, they beat you guys on that front, Pentair, Pool Pumps, just letting you know. Thanks. 
Darius Adamczyk: Pool Pumps well, it was pretty close there Steve. 47 to 50 you know.
Operator: We will now take our next question and that will come from Scott Davis with Melius Research. Please go ahead. 
Scott Davis: Good morning guys. Do I read your answer to mean that you're going to enter the Pool Pump business?
Darius Adamczyk: Apparently it's an opportunity we need to go investigate. 
Scott Davis: I'm going to keep it simple. Can you just talk about price kind of broadly versus cost? 
Darius Adamczyk: Sure. Yeah, no, it's yeah. That's definitely a watch out item for the year and for us, inflation is taking hold. There's no doubt about it. We knew it. We see it, it's real, and if you don't stay on top of it, the two areas where -- and this is not a surprise, steel, semiconductors, copper, ethylene those are the four elements that we saw substantial inflation in Q1. I can tell you that we stood up a pricing team, which has been in place since the beginning of the year. We're quickly taking actions and we are staying ahead of it and we're going to continue to monitor what happens and stay ahead of it. But it's a watch out item. I don't think things are going to abate. The short cycle is definitely hot. We all read the same articles around semiconductors and what's going on there. And I think we're going to have to just stay ahead of it, but, we do expect an inflationary environment this year and we're going to stay ahead of it. That's our commitment. 
Scott Davis: Okay, I'll pass it on. Thank you guys. 
Darius Adamczyk: Thanks, Scott.
Operator: We will now hear from Julian Mitchell with Barclays. 
Julian Mitchell: Hi, morning. Maybe just sticking to the one question rule, the SPS margin outlook, maybe just give us some context short and long term. I think you'd said Q2 the margins probably worse so maybe how large is that sequential step down in SPS? And also longer-term you've got that close to 20% guide out there, what's the approximate sort of aspiration of when people should think about that or is it just sort of off the table for the medium term because of how good the growth is?
Greg Lewis: Yeah, so Julian, I don't think we said that margins contract in SPS sequentially. I think what we were trying to highlight is simply it's at in the 14s, it's the lowest one in the portfolio and it's driving the biggest part of the growth. So it gives some pressure to the overall margin expansion for Honeywell. I think we're going to see margins improve modestly for SPS during the course of the year. Because even for Intelligrated as an example, we're going to have our peak quarter most likely here in Q2 on the revenue side. And then that will start to abate a little bit as the year progresses as well. You know that that business can be very lumpy on the install, that's not new news. So the movement of that will influence either the margin progression. As it relates to your 20% target, we absolutely still have that in mind in the longer-term. It's probably not 24 months from now. We've talked quite a bit about trying to capture the install base, particularly in the warehouse segment and the whole point of that has been to follow with a terrific service in aftermarket business with software attached. And so, as and when that shift occurs then we'll see those margins mixing up. And then again with the recovery that we've had in places like PSS, which I think Kevin Day Hoffman and the team there have done a terrific job in that business. We start seeing margin accretion again in there. So, we still have a very much a line of sight to that 20%. But with roughly maybe even close to a $3 billion business in warehouse this year at the lower margin, that's going to give it some short-term pressure.
Darius Adamczyk: Yeah. If I could just maybe add a little more color on the long-term and this is I think very, very consistent of the framework we provided. The Intelligrated business is growing at highly dynamic range. I mean, think mid to high double-digit kind of range. And in mixes down, even moving the SPS portfolio. We've been -- that's not news. I think what is news, is that we're continuing to take substantial market share in the marketplace building installed base and as the build out of the warehouse infrastructure moderates we're going to get higher margin business because obviously then it's going to mix much more of the  . So there's really no bad news here. This is actually fantastic news that we're taking share, growing extraordinarily quickly. And as I've said, all along Intelligrated has -- is the best acquisition we've ever done at Honeywell. Now it's more or less undeniable. And, it's a business that continues to do well and I see it being primarily a projects business for the next short to midterm because the demand is still very, very high, whether it's north America and Europe, and we're going to capture that share. Ultimately it is going to become our higher margin business as it becomes a bit more installed base centered.
Julian Mitchell: That's great. Thank you. 
Darius Adamczyk: Thank you. You bet.
Operator: Next up we have Nicole DeBlase with Deutsche Bank. 
Nicole DeBlase: Yeah thanks, good morning guys. 
Darius Adamczyk: Good morning Nicole. 
Nicole DeBlase: So maybe I wanted to focus a little bit on HBT. I know that's part of the whole margin mix down dynamic for the year, but HBT margins continue to move higher and were a lot better than we had expected this quarter. I guess how do you think about the sustainability of the strong incrementals you saw there in the first quarter, if you could kind of talk about the 1Q dynamics as well as how you see margins progressing throughout the rest of year in that business?
Darius Adamczyk: We're very bullish in the HBT business, the healthy buildings offerings has kicked in. As you know, we booked roughly a 100 million of that business in year 2000. We expect it to be several hundred million in the year 2021. We're -- as we look at the Biden infrastructure plan, there's a substantial amount of money, something to the tune of 50 billion for particularly education and infrastructure. We think that there we're going to be able to play in there. The team has done a great job managing the margin profile and the mix. So we -- we're very bullish on what's going to happen to HBT and we think we're very constructive on it for the rest of the year. 
Greg Lewis: And I would just say the -- as you mentioned very strong margins in the first quarter, 22.5%. Our long-term target in this business was 23. So this is one, this is the beauty of the portfolio. You don't get everyone exactly at the same time, but this is one that's trending towards the high end. Some of that is going to be a little bit abated in the second half and perhaps even in the second quarter as the projects business becomes a bit bigger in the mix. But we feel very good about the progress that that team has made overall, over the last 18, 24 months post the spin of the homes business. I think they've done a terrific job in productivity, on footprint, new product introductions. So, I really think what  and that team have been doing is quite good. And, they're approaching their long-term target here, as we roll through 2021. 
Nicole DeBlase: Got it. Thanks. I'll pass it on. 
Darius Adamczyk: Thank you. 
Operator: We will now hear from Deane Dray with RBC Capital Markets. 
Deane Dray: Thank you. Good morning, everyone.
Darius Adamczyk: Good morning.
Deane Dray: Yeah, I would love to get some color on Sparta, those are pretty heady numbers, sales up 25%, bookings up 75%. Just give us a sense of what's the normalized run rate, what are the applications and its kind of reminiscent of the way Intelligrated started and it turned out to be pretty sustainable in terms of double-digit, so just level-set us here if you could please?
Darius Adamczyk: Yeah, no, good question. We're very, very happy with the start in Sparta. And sometimes when you acquire a business, you kind of hold your breath until you actually own it and say, okay, did we buy what we thought we bought. And I'm very, very happy to report that we're very excited about the business. We bought exactly what we thought we're going to buy. The first quarter numbers speak for themselves in a strong, double-digit growth. Bookings that are sort of multiples of that. Being in the life sciences space and providing quality management solutions is I think going to have a very, very long runway for the future. We've got a great team in place there. We augmented the team with some professionals as well, and we're extraordinarily well-positioned to make that a big winner and then drive the synergies of our Honeywell Process Solutions business. I mean we forget that that business is now really growing to our life sciences segment of the business at a disproportionate rate. This will be a further catalyst to enable even more growth. And by the way, it's substantially margin accretive too. So, we're -- it wasn't kind of -- it wasn't maybe the typical Honeywell acquisition that we make, but we feel very, very good about it now kind of being the proud owner for about a quarter and it all looks good for Q2 and the rest of the year as well. 
Deane Dray: Great. Thanks. I'll pass it on. 
Darius Adamczyk: Thank you.
Operator: Moving on to Jeff Sprague with Vertical Research.
Jeff Sprague: Good morning, everyone. 
Darius Adamczyk: Hey Jeff, good morning. 
Jeff Sprague: Good morning. We'll keep an eye on Sparta, but for now the second best acquisition Honeywell ever did was UOP. I wonder if we could talk about that a little bit more. And really the kind of the nature of my question is it is very interesting to see the backlog pickup, right. We are seeing this high level of activity in the chem space in particular, that's probably pushing out turnarounds, but maybe you could just give us a little bit more color on how you see the year playing there, how the business might kind of mix? And, if there's any kind of related commentary and HPS is part of that answer, that would certainly be interesting? 
Darius Adamczyk: Yeah, yeah Jeff. Well, I think there was certainly some encouraging signs in Q1. I mean, we had double-digit bookings, in the -- their services, their catalyst part of the business is coming back. Our sort of book-to-bill is in much better shape this year than versus our assumptions this year versus where it was last year. So that's also promising signs. We're seeing some activity come back and I also want to highlight maybe a very important part of that portfolio for our future, which is the sustainability technology solutions business. It's quote logs is in the hundred millions of dollars range now and growing very, very quickly. It's bookings were up 25% and we're talking to diff literally tens of different energy producers today about our sustainability technology solutions portfolio, which is highly expansive from plastics recyclability, to eco finding, to energy storage, to hybrid -- to hydrogen energy, to carbon capture. We have all these solutions. So I am very optimistic about that business, and it may look very different three to four years from now than it does today because we've over-invested into our sustainability technology solutions portfolios. Now on the larger projects and you know this, sort of the OPEX, CAPEX budgets. And I sort of expect that although I would view the price of oil and gas to be very friendly towards investment. We think that that's still could be a couple of quarters away just because of where the budgets were set for a lot of the majors. And, as you know they were depressed for this year, however, they are investing in to refurbishment, the catalyst and so on. And if you look at -- and lastly on your question, as it relates to HPS, if you look at the HPS UOP cycle, HPS typically trails UOP by two to four quarters, that's sort of mathematically how things work. So, we see some encouraging signs and those signs are going to get better and the business is going to get better for the next several quarters. So we're going to be patient, but we're very confident this environment is going to keep improving because as you know, you have to reinvest and although we're moving to a more non-carbon energy infrastructure, we're sort of going to need carbon for a while and so we've got two different growth factors. Number one is to sustain the current, but also to help those businesses transition to the future. 
Jeff Sprague: Maybe just as a brief follow on Darius, are you seeing any of those large kind of transportation fuel to petrochem projects kind of coming back on the board?
Darius Adamczyk: We are seeing some activities, some discussions, because as you know that's exactly right, which is a greater switch from fuels to petrochemicals. So that's very much a part of our -- that kinds of discussions and “log” that we're having. So, frankly some of the projects are not being released yet. They're being delayed, but we're highly, highly confident those will happen. 
Jeff Sprague: Right. Thank you. 
Operator: Now we will hear from Peter Arment with Baird. 
Peter Arment: Hey, good morning Darius and Greg. A question more on a kind of regional basis, just particularly focused on Europe. We'd look at the first quarter flight activity in general and domestically. We were in the U.S. we were down 32%, but we were down 62% in Europe. I guess the question is really, how are you looking at Europe today just more broadly speaking, not just aerospace across your businesses, how you're seeing the recovery there? Thanks. 
Darius Adamczyk: Yeah, no I mean Europe probably was a bit slower than we anticipated in terms of flight hours. I mean, that's clear in Q1, and Europe, I mean I think there's a direct correlation towards vaccinations, right. And we kind of -- as we look at Europe, they're probably let's call it three to six months behind the U.S. in terms of vaccination rates. So we're going to kind of continue to see slow rate of recovery here as we move through the year. And we actually expect a fairly robust domestic flight market in the U.S. It probably won't be the case in Europe. We think that that's probably going to push back into the fall, but Europe -- sort of the leaders are UK, U.S., Israel, UAE. Those are -- those markets are recovering fairly quickly. I think Europe will be next. China is in a pretty good place, India is a bit of a trouble spot and Latin America is a bit of a trouble spot. So those will probably recover late this year. And then we see a very strong pickup, next even stronger pickup next year particularly on the international routes, but some of those will recover in the second half of this year. I anticipate, especially U.S., Middle East, Europe, UK routes to be fairly active even in the second half of this year.
Peter Arment: Appreciate it. Thanks. 
Darius Adamczyk: Thank you. 
Operator: Gautum Khanna with Cowen has the next question. 
Gautum Khanna: Yeah, thanks. Good morning, guys. I was wondering if you could elaborate on -- yeah, if you could elaborate on the commercial aerospace aftermarket, you mentioned sequentially it was down. Maybe if you could tease out how much Aero, large commercial ATR was down? And then what are you -- you mentioned that we will be up in Q2, what are you seeing from a booking standpoint, what kind of indications are you getting for magnitude of the improvement in Q2? And maybe your thoughts beyond that?
Darius Adamczyk: Yeah, it seems like the flight hours from Q1 to Q2 want to be up in call 20% range. Whether we have a little bit of a lag to that or not remains to be seen. But, as you highlighted and we talked about the Q4 to Q1 decrement is the lack of Thanksgiving, Christmas, the January, the December and January infection acceleration. So, as those things start coming down, domestic travel we expect will be the main beneficiary, and you see that from all the airlines who have reported Southwest, which is mostly domestic leisure travel is doing fantastic. And those who are reliant more on the business travel are going to suffer. So, you're going to see that domestic and international and business travel bifurcation. Exactly how that's going to play out is really kind of remains to be seen. And even as was mentioned earlier, with places like Europe, domestic travel in intra Europe has been depressed a little bit given the fact that they've had some additional lockdowns in some of the countries with the outbreaks there. So it really is -- it's really a country by country, region by region impact and so, putting a precise finger on that is going to be a little bit elusive.
Gautum Khanna: Thank you. 
Operator: And with Citigroup we have Andy Kaplowitz for the next question.
Andy Kaplowitz: Hey, good morning, guys. 
Darius Adamczyk: Hey, good morning. 
Andy Kaplowitz: Darius you had talked about accelerating cash deployment in Q1 with a 3 billion that you allocated to high return opportunities including Sparta, but could you update us on the M&A pipeline you're seeing, obviously we've talked about valuations not being cheap out there but do you think you can continue to ratchet up M&A over the next few quarters? And what do you see?
Darius Adamczyk: Yeah, no, I mean the pipeline continues to be good, you're right. The valuations are not exactly low. But, we're going to be opportunistic and we're going to look for kind of, I would call needles in the haystack, and finding things that work for us, that make sense for us if we think they exist. And, sometimes you got to -- you have to go in places where maybe everybody else isn't running to because obviously those things have a very, very expensive price tags. And we have some ideas that I think could be pretty interesting for a portfolio. So we -- it's a very robust pipeline and we're always working on a couple things that hopefully will land and anticipate we're going to be doing more deals in 2021. And we're also looking at other levers of capital deployment as well.
Andy Kaplowitz: Thanks guys. 
Darius Adamczyk: Thank you. 
Operator: Now we will hear from Nigel Coe with Wolfe Research. 
Nigel Coe: Good morning, guys. So just getting back into the Pool Pump, just kidding. I want to go back to the comments about the supply chain constraints in 2Q and I don't know if you want to try and quantify it, but if you look at normal seasonality, the 1Q to 2Q step up Greg you talked about, it seems like it might be in the range of maybe $2 million or $3 million, is that sort of the right range and where are you seeing these constraints, is it mainly in semi or is it bottlenecks and do you think 2Q is sort of paying for this and again ? 
Greg Lewis: No, the constraints are significant and they are in semi. And by the way, just to be very clear, the constraints are reflected in our guide, okay. I just want to be very clear about that. But the constraints are significant and they are primarily in our SPS, and more specifically . Think about it million over 100 million plus kind of a number. Because so -- so it's not small, it's actually significant. We do think it will abate over the year. But Q2 is challenged because frankly, the guide could have been even higher. And we are working and we've really projected an outlook for the rest of the year. And we're looking for alternative source or actually Torsten Pilz this year is our supply chain officer. So, I don’t know if Torsten if you want to provide. 
Torsten Pilz: Yeah, I think we have two areas, semiconductors is one and resins is the other one. We believe that the resin impact will subside by the end of Q2, but the semiconductor impact will continue throughout the year. 
Nigel Coe: .
Darius Adamczyk: Nigel, you're breaking up, we couldn't hear your question.
Nigel Coe: .
Darius Adamczyk: I think -- I don't know what you said -- is it lost sales. We think it's a push because obviously a lot of these suppliers are not unique. It's obviously being impacted. So it's not as if the demand is going away. So we think that this is probably a push to the second half of the year but we'll see. It's -- we've -- that business has been a really, really nice success story for us. And if we go back a couple of years, maybe it wasn't such a success story. It had a terrific year last year and it just further accelerated this year. And absolutely growing very, very quickly. So, it is still going to have a good quarter in Q2, but it could have been a phenomenal blowout quarter in Q2. 
Nigel Coe: Great, thank you very much. 
Darius Adamczyk: Thank you.
Operator: Andrew Obin with Bank of America will have the next question. 
Andrew Obin: Hi, yes, good morning. 
Darius Adamczyk: Hey Andrew.
Andrew Obin: Yeah, I figured maybe Julian was messing with Nigel's line to keep him from asking too many questions. But who knows? It's a competitive business. Just question on aero, in a very sort of twisted way, we're getting a lot of questions to the fact that your margin in aero is already so high at the bottom of the cycle. And I was just wondering if we could take a longer term view and if you could talk about sort of longer-term levers to keep margin expansion going in this business, both in terms of specific end market recovery, but also operating initiatives?
Darius Adamczyk: Yeah, well I think Q1 was a bit telling. And although we were very transparent about a $30 million one timer, even if you exclude that element, I mean, the margins were still in the upper 20s. So I think we demonstrated the credibility of the say, dude, that we believe this business can be in the upper 20s. I mean, this is a case in point and take out the 30 and we're still in the upper 20s. So I think that's really important. Yeah, I mean, this may be isn't the high point in sort of investment profile of aero, but I can tell you and as Greg pointed out, we are investing in aero today on some of the major platforms and products, so I wouldn't say it's an all time low, and our R&D dollars are going up from 2020 to 2021. And we still expect extraordinarily attractive margins for that business. So, I think that it's -- we're investing, it's a great business, and better things are yet to come, which I think maybe gets misunderstood, which is a lot of that ATR aftermarket is not kicking in yet. I think the BGA is going to get better. I mean, so we have some brighter things on the future and even at this kind of business levels, we can print something in the upper 20s. So I just think that, hopefully, people start believing that this is a very good business, which is going to get even better for the future. Greg? 
Greg Lewis: Yeah, I would just, maybe just augment that. So as you said, we printed 29%, you take the 30 million out, it's still 28, high 27s. Our long term target that we highlighted was 27. So again, we're there on that. But we're going to continue to invest in so I think this business has done a very good job. And it was obviously, that in PMT were the most impacted by the pandemic. They did a terrific job on their cost management and realigned their cost structure to the size of the business and that's coming through. But, to Darius’s point, we're going to make sure that we continue to invest and grow it, we're not going to over earn in print margins that are let's say unhealthy for the long-term viability of the business.
Mark Bendza: Jake, let’s take one more question, please. 
Operator: And that question will come from Sheila Kahyaoglu with Jefferies. 
Sheila Kahyaoglu: Hey, good morning guys. Thank you. 
Darius Adamczyk: Good morning.
Sheila Kahyaoglu: Good morning. I'll have to tell Andrew, it was me messing with Nigel’s line so just to clear it up. I guess sticking with aero, you mentioned commercial OE was up sequentially,  was up double digits, I think you said was that a surprise, what platforms drove that? And related to that, what are you expecting on commercial OE build rates as we progress throughout the year?
Darius Adamczyk: Yes, so it was definitely up sequentially as highlighted, not really unexpected. We're starting to see some of the build rates recover. It's going to be slow from here. I would say the level we're at right now is going to be kind of a slow ramp from this point. So it's not like we see anything changing dramatically to the upside here imminently. So but not really unexpected for what we've seen. You see what's happening with the mass coming back into service and so on. So we feel like we're sized properly for that ramp as we head into the second quarter in the back half of the year. On BGA certainly that aftermarket stream, it's just going to grow at a faster pace than the ATR. I mean, people are shifting, this is actually a question for the ATR business, people are shifting from commercial travel to business jet travel. That's happening and so there may be some element of commercial first class travel that actually from a business perspective doesn't fully come back. So, we do feel bullish about what we're seeing in the BGA space particularly. But as I said earlier, there's so many variables you know as well as we do, there are so many variables that go onto this between passenger behavior, airline behavior. That's a little bit as to why we are going to take this one quarter at a time.
Greg Lewis: And just to maybe add to that is, yeah, I think what we have looking forward is the OE rates slowly increasing. And I think that that's -- we have a fairly high degree of confidence in there, throughout this year, particularly second half versus first half. And then increasing even more in 2022. So that's sort of the math. I mean, I think we also forget that, as recently as three months ago, I mean, some of the infection rates in the U.S. were very, very high, and we're in a dramatically different place. So, the overall January and then part of February were fairly difficult. But we see the world slowly coming out of this. And, there's going to be a direct correlation to aviation. And we think, this is going to be manifested in the second half this year than 2022 and 2023. And, we're set up for some very, very nice quarters and years ahead of us, which are going to be slowly ramping up. So we continue to be very bullish on aviation, we're investing in the business but at the same time, 2020 was a good opportunity for us to really rationalize some cost structure and I think we can lever up nicely as that business starts coming back.
Sheila Kahyaoglu: Thank you. 
Darius Adamczyk: I'm proud of everyone at Honeywell whose consistent hard work and unwavering commitment enabled us to outperform in this challenging environment. Thank you to our shareholders for your ongoing support. We are well positioned for the recovery with a strong start to the year and I look forward to our opportunities to come during the balance of 2021 and beyond. Thank you all for listening and please stay safe and healthy.
Operator: Ladies and gentlemen, this does conclude your conference for today. We do thank you for your participation and you may now disconnect.